Operator: Good morning, everyone. Welcome to the conference call for Rubicon Organics Q4 Financial Results for the three and 12 months ended December 31, 2024. As a reminder, this conference call is being recorded on April 2, 2025. At this time, all participants are in the listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for research analysts to queue up for questions. Before we begin, I will refer you to Slide 2 of our presentation, which contains Rubicon's caution regarding forward-looking statements and non-GAAP measures. Today's presenters will be Margaret Brodie, CEO, and Janis Risbin, CFO. I will now turn the call over to Margaret Brodie for the presentation.
Margaret Brodie : Good morning, everyone. Today I'll provide an update on Rubicon Organics and our achievements in 2024 as Canada's leading house of premium cannabis brands. I will also provide some color on our growth opportunities and where we are seeing -- what we are seeing as a resurgence in Canadian cannabis. As well, our CFO Janis Risbin, will cover our financial highlights. 2024 was a record year for Rubicon Organics, achieving several milestones. We delivered another record high net revenue for both the 3-month and 12-month periods ending December 31, 2024, up 21% and 42% respectively on 2023. We reported positive adjusted EBITDA of $4 million, excluding $900,000 in one-off ERP implementation costs, without which we would have been at our record high profitability of $5 million. We achieved three consecutive quarters of profit from operations. We swept the 2024 KIND Magazine Awards with 11 prestigious accolades. We refinanced our credit facility at industry-leading rates, setting Rubicon up for the coming years. And finally, we executed on our commitment to deliver vape in market and the results and impact of which were hugely successful. Into 2025 now, thus far, we received our GACP certification for our Delta facility, allowing us to execute our inaugural international shipment to Poland in mid-March, and we entered into an agreement to acquire a new facility in Hope, BC, expanding our annual production capacity for premium cannabis flower by over 40% to 15,500 kilos. A quick note for those of you who are more recently joining our story. Rubicon is the #1 premium licensed producer or LP with a house of premium cannabis brands and over 6% market share of the Canadian premium market and multiple premium segment leading positions. Our brands are a proven launch brand for new products and revenue growth, as evidenced by firstly, for the last two years, holding two of the top five most recommended brands by Budtender in Simply Bare Organic in 1964. Secondly, reaching #1 in premium medicals position in the country with 30% market share within a year of launch. Thirdly, achieving over 13% national market share and 56% national distribution in our vapes in six months since launch, the fastest and widest product launch in our company history. From day one, we've been committed to delivering consistently high quality products that win over consumers and budtenders alike. Our focus is on quality through every part of our business, from cultivation to product development, which we believe is absolutely essential to competing within the premium and super premium categories and has made us a leader in this industry. And our team has deep cannabis experience coupled with a long history in competitive CPG industries. We are focused where we can out-compete and win rather than trying to be everything to everyone. We are also one of the only living soil cultivators in Canada, which we view as a key competitive advantage in our super premium strategy. Today, we hold unique IP and are now positioned as the world's leading scaled certified organic cannabis company with an extensive genetics library. What can you see in our business? Proven growth. Our track record of success shows we know how to grow and scale our business with net revenue growth of 68% in 2022, 14% in 2023, and 21% in 2024, each year off a higher base. Significant expansion. Our recent acquisition increases capacity by over 40% for our in-demand brands, offering us a low investment growth opportunity. Exceptional brands, we have built strong customer relationships with our focus on brands that deliver consistent and trusted high quality experiences. And disciplined financial management, we have delivered three consecutive years of positive adjusted EBITDA by keeping our below the line operating costs in check and maintained a solid balance sheet supported by our recent long-term debt financing, which bears a very competitive interest rate of 6.75%. Leveraging the strengths of our house of premium brands, we continue to expand with strategic product launches. For Simply Bare Organic, our super premium cannabis brand targeting the cannabis connoisseur, we introduced ultra flavorful quad-level strains like BC Organic Fruit Loops shown here and our BC Organic Fire OG maintaining our strict quality standards for our best-in-class experience. Under 1964, the largest growth initiative was our vape launch. Our high quality, award winning products have generated significant net revenue, driven by a growing consumer preference for and willingness to pay a premium for Full Spectrum Extracts or FSE over distillate vapes. We expect this trend to continue. In addition to vape, in 1964 continues to launch some of the best former Legacy Cultivars with Stinky Pinky as one of 2024's standouts and it was crowned as Flower of the Year. Our vape launch leveraged our brand strength, achieving over 55% national distribution by year end, despite only being in Alberta, BC, and Ontario. We won Vape of the Year and Best New Product at the 2024 KIND Awards and captured over 13% of the resin vape market in the fourth quarter. With vape currently only making up 16% to 17% of the Canadian cannabis market, versus around 30% in the US, we anticipate continued strong growth, especially with the prospect of Quebec coming online in late 2025. We've launched seven vape SKUs and expect it to continue to be a revenue growth driver in 2025. Our vape success is driven by best-in-class quality, bringing our most loved best-selling strains to consumers in a new format. Premium vapes are only as good as the flower they're made from, quality in, quality out. In a market with limited product visibility, our brands strand out for their consistent quality, earning consumers trust. When we deliver on a brand promise, like we did with our vape products, it fuels a powerful cycle of trial, repurchase, and recommendation, reinforcing our position as a trusted cannabis brand leader. With our vapes now in market, we have a meaningful share across premium flower and pre-rolls, vapes, edibles, and topicals. In the quarter, we maintained our leading market premium position in Canada across all categories, holding 6.1% of the total premium market for the previous 12 months. And a few key highlights here. We hold 6% of the national premium flower and pre-rolls category. In the fourth quarter, we achieved 13% of the national resin vape category, incredible given the mid-year launch. We hold 27% of the premium edibles category and in the fourth quarter held the #5 edibles position across all price categories. And our Wildflower brand continued to be the #1 topical brand in the country with 27% of share, despite an increasing number of SKUs entering that category. As true CPG brands emerge in Canadian cannabis, our consumer loved and Budtender recommended brands drive successful launches. Our high quality vape launch thrived on the strong recognition of 1964, a reputational platform gaining traction both in Canada and internationally. I'll now pass the call over to Janis to discuss our financial performance.
Janis Risbin : Thank you, Margaret, and good morning, everyone. We achieved a record high net revenue for a single quarter, totaling $14.2 million and the highest consecutive 12 months net revenue of $48.7 million. The first half of 2024 was more challenging, with only modest year-over-year net revenue growth, as we continued to experience soft consumer sentiment and the impact of price compression in the market. Gross profit was affected by an adverse product mix driven by lower margin innovations, price compression, and a shift towards larger flower formats. In the second half, we refocused our efforts towards more profitable SKUs, increasing our gross profit margin by the fourth quarter. Our vape launch with the first shipments in Q2 2024, has been a significant contributor to our growth in 2024, most notably in the second half, as we benefited from increased distribution and rate of sale, as well as the increase of the range of available SKUs in market. The Vape Launch has been hugely successful and is now our highest distributed product format with each SKU contributing meaningfully to the portfolio. I'm excited to see continued growth from this format through 2025 as we approach one full-year in market. However, the 1964 Vape launch is not the only growth driver for Rubicon, with all brands having contributed to the overall top-line results. Simply Bare has grown across all product categories, most notably driven by the pre-roll segment, benefiting from a successful introduction of new and unique genetic launches, as well as the 2024 introduction of capsules and edibles, both quickly becoming important contributors to the brand offering. For 1964 flower, the second half saw improved performance on the back of new genetic launches in the flower category and a format size adjustment on our pre-rolls business, finishing the [year in growth] (ph). We also saw strong growth from 1964 edibles with a full year in market as we continue the expansion of the range. Wildflower continues to excel in the wellness category, performing strongly in the topical fit category and expanding its portfolio into edibles and oils. Despite a low number of topical SKUs in our portfolio, we continue to maintain a strong 27% market share. We find that once customers experience the quality of our Wildflower topicals, they keep coming back. Operating cash flows throughout 2024 continued to improve with $2.3 million delivered in Q4 2024, bringing the year to date operating cash flow to $3.4 million. This marks our third year of positive operating cash flows. The operating cash outflow in Q1 of $0.9 million was driven by the slower start to the year from a sales and mix perspective, investment in our ERP project, and the investment in working capital as we prepared for the launch of 1964 Vapes. Although it unfortunately broke our streak, it was the right thing to do for the business, and the results in the second half of the year demonstrate how these investments were necessary to position us for continued growth. 2024 was a successful year for Rubicon, delivering 20% growth in net revenue and 12% growth in adjusted EBITDA when you exclude the [900,000] (ph) of non-recurring ERP investment that we made in 2024. Even with the ERP costs, we've delivered another quarter of positive adjusted EBITDA, achieving this for 9 out of the 10 last quarters. And we've maintained positive operating cash flow for 8 out of the last nine quarters. Our gross profit for the most recent quarter stands at $5.1 million, with a gross margin of 36%, showing great progress from the Q1 results of 25%. As we already mentioned, the beginning of 2024 was impacted by market trends that began in the second half of 2023, such as price compression and a shift toward lower price larger formats. The improvement in growth margin since Q1’24 is a result of our efforts to attract consumers back to our more profitable products, gaining leverage on our largely fixed production costs, as well as post-launch cost savings on base. We will continue to evaluate margin accretive opportunities as we build out our forward strategy for the business. We earn $292,000 net profit from operations in the quarter, a third successive quarter. Our working capital position continues to support our plans, and we are back to just under $20 million in working capital, following the successful refinancing of our debt in Q4’24. We placed $10 million in credit facilities at an industry-leading interest rate of 6.75%, giving us the strong financial position to pursue further growth. At Rubicon, we pride ourselves on being fiscally responsible and keeping a tight control of costs. Our revenue has grown 13% and 21% in the last 2 years, respectively. Over that time, the market has gone through a lot of changes, and we have been agile to continue to deliver growth, but not at all cost. Our production costs, which relate to cultivation at our Delta facility, have shown a moderate increase over the last two years, as we continue to optimize our growing techniques designed to achieve higher yields and improve consistency and quality. Inventory expense to cost of sales has increased from 34% to 43% in 2024 due to price pressure in the category, a trend towards larger format, lower margin flower SKUs, and an increase in the ratio of products sold with involvement of third-party manufacturers and third-party contract growers. We have kept control of our operating expenses while delivering the revenue growth as we remain fiscally responsible, with 2024 operating expenses impacted by the $0.9 million investment in our ERP project. Finally, we have industry-low rates of inventory write-off consistent at about 2% of net revenue for the last three years. I would now like to turn the meeting back to Margaret.
Margaret Brodie : Thanks, Janis. Coming to our big project for 2025, we expect to close the purchase of a new facility in Hope, BC in Q2. This acquisition is timely given the now evident global cannabis supply shortage. Our Delta facility is already producing some of Canada's best premium cannabis and we are the only scaled premium organic cannabis operator in the country. Hope, provides the opportunity for us to satisfy more demand as it brings an incremental 4,500 kilos of production capacity into our business for just $4.5 million, and we expect to add around $2 million in incremental CapEx of which three quarters we will spend in 2025. Given that the low end of estimates are around that it would cost more than $12 million to build this facility today, this is an incredibly strategic purchase. We will fully own the facility and all of its real estate, allowing for a stronger balance sheet and further optionality. We do expect to be putting a small amount of debt on the facility, and we'll share more as we get closer to the closing of the transaction. The Hope site was the first licensed site in BC and is located about an hour and a half from our existing operation in Delta. This proximity allows us to leverage our experienced operational team to get quickly up and running with the first harvest expected in late 2025. While we anticipate full operations by the end of the year, we do not expect a revenue impact until 2026. This expansion will help capture unmet demand for our capacity-constrained brands in Canada, and we expect to open up international channels in 2026. The cannabis industry has followed a classic hype curve. Initial highs, a challenging low and now the resurgence of clear winners as the market matures. The past three years have been marked by intense competition and relentless pricing pressure, but we believe domestic pricing has now stabilized with some segments already seeing increases. Market dynamics are shifting with demand outpacing supply setting the stage for a steeper, more sustainable resurgence both domestically and internationally. Wholesale prices are rising, and we continue to receive strong demand for our products from both markets and expect the next 18 to 24 months to be a period of continued growth for Rubicon. To look forward to 2025, we see the cannabis markets have turned a corner. And what can you expect from Rubicon? Firstly, we are focused on securing additional premium quality supply in two ways. One, through our planned Hope acquisition. Two, through contract arrangements where we expect incremental 2,000 kilograms of biomass. Secondly, we are focused on the domestic market and building trust with our customers in Canada. [We see now] (ph) is the time that brands are built, as many of our competitors are turning away from the Canadian market and that coupled with the rising barriers to entry on Canadian shelves with provincial SKU rationalization and supplier scoring means it will be increasingly challenging for new brands and products to secure shelf space. At the same time, Canadian consumers are becoming more brand loyal, prioritizing trust and value into their purchasing decisions. We believe our award-winning brands and diverse product portfolio will continue to resonate with them. Thirdly, we remain committed to bringing new and innovative genetics to the Canadian market to continue to elevate our consumers' experiences. And lastly, in 2025, we plan to test and learn in the international medical market in advance of having incremental production from Hope, some of which we expect will be available for international channels. In financial terms, for our 2025 targets, we are forecasting growth in both net revenue and adjusted EBITDA from our core business on a like-for-like basis. In 2025, our adjusted EBITDA will be impacted by initial pre-revenue operational costs associated with the Hope startup with the full benefits of Hope not likely to appear until 2026. But this sets us up for long-term success and value creation. Before I get to questions, I always plug a personal favorite product. And today is no different. I recommend to you one of our new genetics, the beautiful BC Organic Pink Drip, a cross of skunk and animal mints. It has just launched under Simply Bare Organic. And I'd now like to open the line up for analyst questions. Operator, please open the line. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line up Neal Gilmer with Haywood Securities. Please go ahead.
Neal Gilmer: Thanks very much. Good morning and congrats on the results. Margaret, I appreciate your comments on your outlook for 2025. Wondering what you can share about what you've seen in Q1. I know we all know the industry has some typical seasonality on the downside in Q1. Just sort of wondering what you can sort of share, as what you saw unfold in the first quarter here.
Margaret Brodie: Thanks, Neal. Good morning. Thanks for the congrats. We're working hard here. Look, there is certain amounts of data that is available through [high fire] (ph). So, my comments will be based on what is available in the public domain through information that's pulled. We in the past, Rubicon has seen up to 25% decline into the first quarter. It's been our history. We've always found it incredibly stressful in the first quarter. This year we haven't seen that level of decline in the January and February numbers coming out of high fire publicly available. You can see a decline certainly from the dry January seasonality, but not to the level we've seen in the past. We are very pleased with how January and February have started off. March, we always have about a week and a week and a half where the OCS doesn't take orders in, so we sort of double up again in a first week in April. Most of the provinces have their year ends, so they try to reduce their inventory for March 31. So I wouldn't say we're seeing the level of decline that we've seen before and probably more industry consistent which is I believe closer to 15%.
Neal Gilmer: Great thanks very much. Can you share a little bit more I know you mentioned about $2 million in investments in CapEx, the three quarters of that this year. What was sort of the nature of the investments you're hoping to make at the Hope facility?
Margaret Brodie: Great, look, Hope we believe will turn on quite quickly, you know, as fast as we can, slow as we must is the current phrase. HVAC is incredibly important in particular to the premium flower. There is HVAC in on-site. There's probably some incremental work in there. We're going to redo all the irrigation, very important to make sure we know that's working well for consistency. And then there is the security system is the last one. That's the majority of it. Then there's small things on evaluating of the tables, ex cetera. But you know, I think that money will probably be spent mostly by the end of the summer and we should have our first planting in at some point in the summer pending licensing and making sure the equipment is up and running properly. I'd like to be in a position where at the end of the year we know, the first crops we expect might not hit our quality standard, and that's normal for a new facility as we're learning. But I expect that we're at full capacity by the end of the year, and in ‘26 we've got in the range of 3,000 kilos coming out of that facility and on the low end I would say we're fairly comfortable thing.
Neal Gilmer: Great. Maybe the last one for me on the on the international side of things you mentioned the GACP for the Delta facility. Do you need to do get that for the Hope facility or does that facility already have that?
Margaret Brodie: No, it does not have that and that would be something that we would do and we're talking about doing actually in the fall as we're up and running. We've got a number of projects we're running at and excited about because we can see the opportunity with the supply shortage nationally. We'll look to GACP, but I couldn't give you a timeline today to commit to the end of this year. I will probably push the team, but it might flow into the beginning of next year.
Neal Gilmer: Fair enough. All right, well, thanks for taking my questions.
Margaret Brodie: Thanks, Neal.
Operator: And your next question comes from the line of Pablo Zuanic with Zuanic & Associates. Please go ahead.
Pablo Zuanic: Thank you, and good morning, everyone. Margaret, just a quick question about the premium segment. I think you talked about having 6% market share. Particularly in the case of flower, can you talk about is the premium segment as a percentage of the overall flower segment growing? Are you gaining share there? If you can talk about that and remind us how you define premium in terms of price points. Thanks.
Margaret Brodie: Good question Pablo. Thank you. Good morning. We've seen premium move from a calculated perspective. There's two ways you could look at it. One is the basket of goods, the basket of brands that we believe sit appealing to the premium consumer. And the second is in the way that High Fire does it, which is the commonly used data within the Canadian set. And that is 20% above the, any products that fall 20% above the average selling price nationally. For our public communications, we take that data because it's what other people can also look at and analyze. That means that products fall in and out of that. Last year we did not see the premium segment grow, but we saw Rubicon grow quite considerably in the high fire data set. In Our view, there's still a lot of growth to come in premium. I would say the one caution we have realistically for everybody in any consumer good is the impact of if the country goes into recession and what people's choices will be, that is going to be interestingly offset looking forward by what we believe is less Canadian premium on shelf as many, many, many of our competitors are pulling their products to international mainly because of the cost of operating in Canada. And getting back on with the sales and marketing teams and the commercial work that you need to do, plus obtaining the listings, is very difficult when you come off. It's very expensive to do. So, I think we'll see if, I think we'll have a, I think we're going to continue to grow and we'll have an offset to total market in that regard, if that makes sense.
Pablo Zuanic: That's helpful, thank you. And look, just regarding the Hope facility, I guess it's a two-part question, were sales in 2014 in any way impacted by your capacity constraints, or were you able to buy biomass from third parties, if you can talk about that? And then I think in the MD&A you talk about you're looking at alternatives to fund the $4.5 million. You still lease back an opportunity in that case or that's out of the question, thank you.
Margaret Brodie: Well, firstly, 2024, we were absolutely impacted by capacity constraint, in particular in our larger formats. The numbers are quite considerable in terms of the amount of demand that we believe we had that we couldn't fill. That is really largely around flour and we need to continue to work with that. I think buying Hope is about us controlling and securing supply, and we believe that is strategically important. And I would say premium supply, one of the things that we are seeing in the international market is the perception of what premium is different than what the Canadian market sees. So product potentially that a Canadian wouldn't consider premium, an international consumer, now not all but many, would consider premium and that's just based on size of nugs and not flavor, smokability, ex cetera. So I believe there's still a lot of opportunity to demonstrate to that consumer in time, what true premium is to a Canadian. Secondly, your question on Hope, sale, lease back, look, we want to own our assets at this stage. We don't have a need to look at a project like that. I think that's potentially the industry stabilizers and we go further down the line. If we were to look at in 3 years to 5 years, maybe that's something we look at, but I don't think today, Janice, unless you've got a differing view.
Janis Risbin: No, I agree with you, Margaret.
Pablo Zuanic: Yeah, one last question, if I may. Just maybe more granularity in terms of pre-roll business and vape. In the case of pre-rolls, I think it's a big portion of yourselves, I guess second to flower according to High Fire. But you haven't done much in, it seems, based on the numbers, you haven't done much in terms of infused. Is that an opportunity? How do you think you are going to infuse pre-rolls? And then separate in the case of vape, if you can just give more color in terms of what's driving that growth. I mean, in some cases we see all in ones growing at 1.5G, 2G, [rossian] (ph) versus distillate. If you can just give more color in terms of what's driving your growth in vape and then plans for infused pre-rolls. Thank you. That's it.
Margaret Brodie: Great questions. Look the infused pre-roll market props to [Jeter] (ph) who's come into the Canadian market with tremendous energy. A lot of that market is a distillate product that is a flavored distillate product and there's a lot of it out there. We have played in the premium side of that. I think in some ways it's low-hanging fruit. I think there's more work for us to do, but I think there's bigger opportunities, in particular in vape, before we would enter and put more energy into infused pre-roll. We tend to focus where we believe there's the biggest winning opportunity. We are in infused pre-roll, but it is not, I would say, a core focus of our business, mainly because I think the differentiation in that when it's really a THC game isn't as large. That's my personal view. I think there's a lot of different perspectives out there. From the vape and growth look, we're obviously investigating opportunities like all-in-one. Again, it's about highest and best use of our resources. My view is there is a place in the market for distillate, but as consumers, and we've seen with various formats that we have, try the more flower-forward terpene-rich experience. They move into that category. I think the risk around our portfolio on things like a consumer preference shift into [Rosins] (ph) and Resins, and FSC, is potentially going to be held back if there's a lot of economic pressure, in particular against the grocery store. But we don't see that happening. Right now we are seeing the market just grow and grow and grow. And the convenience factor of it be a huge part of it. I'd love to be in all-in-one tomorrow, but we aren't. And I'm prioritizing making sure that we get help facility and a number of other projects that we're working on. You'll hear more about as we go through the year.
Pablo Zuanic: That's great. Thank you very much.
Operator: And your next question comes from the line of Andrew Semple with Ventum Financial. Please go ahead.
Andrew Semple: Good morning. Thanks for taking my questions and congrats on the results. First one for me would just be Margaret and Janis. I'd love to hear your thoughts on pricing environments for cannabis products, how that's shifted in the last few months and so far into the new year, whether we're beginning to see prices stabilize or turn upwards, or whether there's still been some pressure on the wholesale prices in Canada just given the supply shortages you've noted?
Margaret Brodie: So in the Canadian domestic market what I would say we are seeing is price stabilization. Rather than price increases, there have been some notable price increases in the value and mainstream category. I think they're fairly well publicized. I wouldn't say that we've seen that in the premium category, and I think there's a balance as what I mentioned about what happens with the economy and the consumer. We're intensely aware of that. We want to make sure our consumers are making choices to our products. In the wholesale market, I haven't actually looked at the data because it's been a busy few weeks in the last three weeks, but we've seen a steady incline. What we've also seen is while we aren't always seeing price increase, we're seeing the price to quality change. So you know if the overall biomass is the same people are paying more for a lower quality but I don't but I think that some of that is offset by the and -- sorry I'm just taking a minute to think about how to explain this. Many growers are focused on yield to sell the most grams into the international market. So it's about getting the flower out that looks like a, you know, I describe it as the strawberry you buy in the store in the winter that has some yellow at the top. It looks great. So they're getting the yield and it looks great, but the experience isn't the same. And I think it's a little challenging because we don't have a consistent grading process across cannabis nationally and internationally. Other than just looking at pure THC, it may appear that pricing has been reasonably stable over the last 6 weeks in the international market, But I think that there's a shift in quality. We are hearing that the Australian market has a lot of – as demand being fairly well satisfied, and we're hearing out of that market more demand towards premium as they're starting to understand that more. And I expect that is the trend that we're going to see in international. Look, last week I was in D.C. And at the Global Cannabis Summit, regulatory cannabis summit, and got an opportunity to sort of understand a little bit more about the flows of what's going to happen over a timeline of call it 3 to 8 years. And I think if you're not playing in a specific category and at a price point through brand and genetic and premium, or you've got production at a low cost point, we're going to be competing in Canada on imports at some stage, et cetera. So you want to be really thinking today, what is it that's important to compete in future.
Andrew Semple: Great. That's helpful, color. My follow-up here would just be on 1 of the items you called out in the press release noting that in 2025 you're expecting a further 2,000 kilograms of incremental third-party contract supply for the year. First of all, I'm just wondering if we saw any of that within the Q4 results or whether that's going to be incremental to what we've seen in Q4 and perhaps the timing of when we might see that incremental third-party supply being made available to Rubicon through 2025.
Margaret Brodie: Great question. We have not seen that in the fourth quarter. That will all really start to begin, I think, a little bit this quarter, and we'll see it in two to four and fairly evenly across the year.
Andrew Semple: Great. That's it for me. Thanks for taking my questions and I'll hop back into queue.
Margaret Brodie: Thank you.
Operator: Your next question comes from the line of Josh Felker with CB1 Capital. Please go ahead.
Josh Felker: Hey, good morning, Margaret. Good morning, Janis. Congratulations on the quarter. You previously spoke to the UK, Germany, Australia as international opportunities, but not Poland. And then we saw the international export to Poland. I'm just wondering are those countries still near-term opportunities and could you update us on any of those conversations level of where they're at? Thank you.
Margaret Brodie: Absolutely. Look we're capacity constrained in 2025. We believe that fulfilling our brands in Canada first is incredibly important for our competition and also our pricing arbitrage as we go internationally to demonstrate the quality of what we have. Poland is a smaller market at this stage. We have very small amounts in our test and learn strategy this year. So what you're, you know, we're not talking significant material amounts in 2025. Going internationally, we're not sending thousands of kilos out because we have the demand domestically. If we look, so, you know, these are small lots consistently, and we will be testing and learning with several different buyers because we want to get to know, understand the process in which to sell, who and how we are dealing with, and understanding the dynamics over there. I think just launching full scale into something or planning to wholesale sell your product in the long term doesn't provide you with a sticky route to market or brand recognition. Next year, we have not yet determined exactly how much, but I do expect it to be over 1,000 kilos would be going internationally and most likely from the health facility.
Josh Felker: Super, appreciate that. And then maybe a two-part question on Canada. Just wondering A, where you're seeing impacts of the shortages in Canadian supply and then B, wondering what you're seeing in consumer trend shift as these trends continue to mature and consumers begin to establish which brands they like on the premium side. Thank you.
Margaret Brodie: So sorry, your first question was for clarification.
Josh Felker: Were you seeing impacts of the shortages in Canadian supply and then B would be any consumer trends?
Margaret Brodie: No problem. So impact on shortage, I think we're seeing that in less brand selection in Canada where a number of small local premium brands are no longer selling in Canada, full stop. It does create an opportunity for us to be on shelf and fill that space. We are also seeing it in our business in the larger format bags because they're less possible. So we air to selling what we can in smaller format where we make more money in particular on the flower side. I think I am not aware of where that is hitting specifically other businesses. And I haven't heard people speak to that. But we are hearing a lot of inbounds from a lot of other companies asking us for supply. It should be reasonably known that I think Rubicon's once now sold supply in Canada. It was a small lot that didn't work for our business, but we don't do that. But we're hearing people really looking, and I would say the stress level on trying to find supply to fill their brands is increasing. I couldn't tell you the internal impacts. What we are seeing though is a shift to trust. And I think that's where brand loyalty is going to be developed. If you look around the world today in unpredictability and you think back to the last number of years where consumers kind of got used to Canadian cannabis too. When they opened the jar or the bag, what is it going to be inside? If you go on Reddit, you can see a lot of comments where people take photos of, hey, look, this is crap, and then they don't buy the brand again. To build a brand, we need that consistent trust and brand promise. And in a moment of unpredictability, delivering on that builds the brand promise and builds loyalty. That's what we are focused on. So I think this shift towards brands will actually accelerate because when people take their hard-earned money, they want to make sure they're getting something good for it.
Josh Felker: Super. I appreciate all the color. Congratulations on the record quarter. Thank you.
Operator: Thank you and this concludes your question-and-answer session. I would like to turn the call back to Margaret Brodie for closing remarks.
Margaret Brodie: I'd like to thank you for joining our call today. Appreciate those who've been on the journey with us for a while and I can see a lot of new names in the participant list so welcome to those new ones. We hope to see you more on our journey as this is a very exciting moment. We have built our business through the trials and tribulations of the Canadian cannabis market waiting for opportunities like now to arise. In the last couple of years of quiet and down cannabis markets, Rubicon has been focused and disciplined to build our business and lay foundations for what we believe is to come. Now they are here and we can't wait for what is next. Thanks very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for attending. You may now disconnect.